Operator: Good morning, and welcome to the FMC Technologies First Quarter 2012 Earnings Release Teleconference. [Operator Instructions] In the event of technical difficulties during this call, we will post updates at www.fmctechnologies.com/earnings. Thank you. Your host is Brad Alexander, Director of Investor Relations. Mr. Alexander, you may begin your conference.
Bradley Alexander: Thank you, Christy. Good morning, and welcome to FMC Technologies First Quarter 2012 Earnings Conference Call. Our news release and financial statement issued yesterday can be found on our website. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current expectations, beliefs and assumptions regarding future developments and business conditions, they are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. Known material factors that could cause our actual results to differ from our projected results are described in our 10-K, 10-Q, and other filings with the SEC. We wish to caution you not to place undue reliance on any forward-looking statements, which speak only as of the date hereof. We undertake no obligation to publicly update or revise any of our forward-looking statements after the date they are made, whether as a result of new information, future events or otherwise. I will now turn the call over to John Gremp, FMC Technologies' Chairman, President and CEO.
John T. Gremp: Good morning. Welcome to our first quarter 2012 conference call. With me today are Maryann Seaman, our CFO; and Bob Potter, our Executive Vice President. I'll start with some highlights from the quarter. Maryann will provide specifics on our financial performance, and then we'll open up the call for your questions. We're pleased by the continued strength in both our Subsea and Surface Technologies markets. The subsea market opportunities continue to grow and our recent Petrobras pre-salt award positions us to exceed our 2011 subsea inbound total. Slowing expansion of capital assets related to the North America pressure pumping market present some challenges. But the field activity in both North America and internationally continues to expand. Regarding the results for the quarter. Earnings were $0.41 per diluted share, a 17% increase over our prior year quarter. Total company quarterly revenue was $1.4 billion and operating profit was $162 million. Subsea Technologies inbounded $1.4 billion of awards in the quarter and our backlog now stands at a record $4.7 billion. Revenue for the quarter in Subsea Technologies was $895 million, an increase of 30% over the prior year quarter, but as anticipated, a 7% decrease sequentially. For the year, we still expect to generate approximately $4 billion in subsea revenue. Subsea margins for the quarter were below our expectations at 8.4%, primarily reflecting additional costs related to CLOV project in West Africa. Our Eastern Region project execution issues identified in the previous quarter are now largely behind us. With our continued expectation of significant subsea market growth, we added almost 500 employees to our subsea workforce in the first quarter. We recognize that headcount additions are challenging our near-term margin performance, but we remain convinced that the investments and resources are necessary to support the anticipated market growth. Surface Technologies first quarter revenue of $378 million was up 30% from the prior year quarter and in line with the fourth quarter. North America shale activity remains strong for both fluid control and surface wellhead. However, as the frac lead capacity comes more in line with current demand, we think some spending on further horsepower additions will be reduced. As long as the North American rig count remains relatively stable, we think the field portion of our fluid control business should remain strong. Execution has improved for surface wellhead as we've recovered from the challenges we faced internationally last year. Going forward, we remain confident in the outlook for global surface markets. Returning to the subsea business. In the first quarter, we inbounded 85 subsea trees and this represents 48% of the industry tree awards. Our Petrobras subsea award of 78 pre-salt trees, including controls, confirms the expanding market opportunities in Brazil and represents the largest Brazilian subsea award to date. There were 3 large subsea awards announced for the industry during the quarter and the list of projects we're tracking remains very strong. If many of these projects are awarded as we expect, we should see an improvement in the pricing environment. Looking forward, in 2012, we expect to generate approximately $4 billion in revenue in our Subsea Technologies segment with margins improving in the coming quarters and inbound awards exceeding the numbers we recorded in 2011. We also expect our surface wellhead business to continue its strong performance globally. And in fluid control, our field replacement and repair business should remain strong while we anticipate slowing orders related to decreased horsepower expansion in the North America pressure pumping market. We're maintaining our full year guidance in the range of $2.10 to $2.25. Maryann will now take you through some of the financial details in the quarter and for the full year.
Maryann T. Seaman: Thanks, John. As was noted, Subsea Technologies operating profit was $75 million in the quarter with a margin of 8.4%. In the quarter, subsea operating profit was negatively impacted primarily by higher estimated costs for the CLOV project. These increased costs primarily related to labor hours will ensure our ability to achieve our current schedule. As expected, we also experienced higher labor expenses associated with investment in our expanding workforce to support subsea growth. Subsea Technologies inbound for the quarter was $1.4 billion, the majority of this attributable to the Petrobras pre-salt award in Brazil. The investments we have made in both facilities and talent in Brazil were key considerations for this Petrobras award. Surface Technologies operating profit for the quarter was $78 million, a 52% increase from the prior year quarter and a 2% increase from the fourth quarter. Fluid control activity was strong in the first quarter, and again, helped to produce strong earnings and margins within the segment. On the surface wellhead side, we continue to see the benefit of our expanded service offerings in North America as rig count remains at a healthy level and our investments in deployable frac assets has improved our ability to serve our customers. Our international operations continue to improve as we expect their contribution to the overall segment results to grow during this year. Orders for Surface Technologies for the quarter were $425 million as fluid control activity levels remained strong and surface wellhead had its best quarter on record. Backlog exiting this quarter stands at $628 million for this segment. As John noted, we believe that the horsepower expansion that has occurred over the last 2 years in the North America pressure pumping market is slowing. With approximately half of our fluid control sales over the last few quarters resulting from this expansion, we have some market risk. At this time, we have had cancellations of only a few orders along with some order delays. However, we believe we will be able to offset much of this exposure with field replacement and repair sales, which are expected to remain strong. Margins in the first quarter were 20.7%. While these were above our annual guidance, we anticipate that the surface wellhead business will become a larger piece of the overall segment going forward. This combined with some decline in our fluid control revenue supports maintaining our previously guided margin range of 18% to 20%. Energy Infrastructure operating income for the first quarter was $9 million, double the amount from the first quarter of 2011, but half the amount we recorded in the fourth quarter. Our year-over-year increase came largely from improved results in both measurement solutions and material handling. The sequential decline was in line with our expectations as our fourth quarter is typically our strongest. Now for the corporate items. Corporate expense in the quarter was $8.4 million. We expect this number to average approximately $12 million per quarter in 2012. Other revenue expense net reflects expense of $20.9 million. This was above our guided range as we experienced some unfavorable foreign currency fluctuations. We expect this amount to range between $13 million and $15 million per quarter in 2012, again, subject to foreign currency fluctuations. Our first quarter tax rate was 23.7%. We anticipate our 2012 tax rate to range between 24% and 25% for the full year. Capital spending this quarter was $92 million, primarily directed towards Subsea Technologies' expansion initiative. We expect capital spending in 2012 to be approximately $350 million. This does not include any spending for acquisitions. Expansion projects for Subsea Technologies are continuing in Brazil, Asia-Pacific and West Africa. These expansions further support our optimism for subsea growth over the next several years. In Surface Technologies, we have substantially completed our fluid control expansion. We are also nearing completion for additions of frac rental equipment related to surface wellhead business. We continue to evaluate the demand for deployable frac rental equipment to meet anticipated market demand. At the end of the first quarter, we had net debt of $380 million. It was comprised of $362 million of cash and $742 million of debt. We averaged 241.3 million diluted shares outstanding in the quarter. Our first quarter Subsea Technologies revenue was in line with our expectations of finishing 2012 with approximately $4 billion of revenue. While we have identified some higher costs to deliver a few subsea projects in our backlog, we remain confident that these are isolated to issues resulting from our rapid subsea ramp-up in the Eastern Region and expect to see the benefit of our workforce additions in the coming quarters. These projects, which are experiencing higher estimated costs to complete, will cause our full year subsea margin performance to be dampened given their revenue contribution expected in 2012. However, we continue to expect to meet our current delivery schedules for these projects. As a result, we now believe we are likely to come in at the lower end of our full year margin guidance range, which was 11.5% to 12.5%. As we stated last quarter, we still expect the second half of 2012 to be markedly improved over the first half. Regarding the Surface Technologies segment, we are maintaining our margin guidance in the range of 18% to 20% for the full year. However, if the North American market suffers a severe slowdown, we could fall below this range. In our Energy Infrastructure segment, sales of $137 million was 33% above prior year. Margins, while slightly lower for the first quarter, are expected to average 8% to 9% for the full year. So in summary, as John stated, we are maintaining our full year guidance in a range of $2.10 to $2.25 per share. We are optimistic that pricing for new subsea awards will improve once industry backlogs are filled. This, combined with our improved execution, should improve margins in 2013 and beyond. We are confident our investments in subsea capacity and people will provide us the capability to deliver this growth. Operator, you may now open the call for questions.
Operator: [Operator Instructions] Your first audio question comes from the line of Bill Herbert with Simmons & Company.
William A. Herbert - Simmons & Company International, Research Division: John and Maryann, a question with regard to subsea margins. Lower end of guidance reemphasized, so 11.5%. 8.5% in the first quarter kind of rounding up a bit. How should we think about the roadmap to margin evolution as the year unfolds? I recognized that's higher. I mean, it has to be for the math to work. But how much of a hockey stick should we count on for the second quarter? And also in that vein, what was the impact -- the margin impact of CLOV in Q1? And if you x that out, what would the margin have been for subsea?
John T. Gremp: Okay, Bill. Let's start with the subsea margin improvement. First of all, it will be back end-loaded. It will be primarily in the third and fourth quarter. It will come from improved project mix, which includes things like growing subsea services, which have a higher margin. Clearly, it will come from better execution. We'll also have higher revenue in the second half of the year and there should be some margin improvement due to leverage on that higher revenue. And then the headcount growth, which has dampened margins -- we added 500 people in the first quarter. That will start to slow. So those are the reasons that caused the margin improvement -- or behind the margin improvement in the second half of the year. But it will be deep into the third and fourth quarter. I'll let Maryann talk about the impact on CLOV.
Maryann T. Seaman: Yes. We have not specifically quantified CLOV, as you can see from our estimates. But if we go back to our fourth quarter, we talked about a couple of things that happened. Obviously, we had Laggan-Tormore. We talked about some anticipated charges for potentially deliveries and, of course, our efficiencies associated with our headcount. So the only real difference from what we expected was actually the impact of the higher cost anticipated for CLOV completion. Our estimates for headcount additions quarter-over-quarter are pretty consistent. Let me also address your other question about the first half versus the back half and the run rate. John gave you clearly all the rationale for why we think our back half is going to be stronger. We're looking -- we realize that we need to probably generate somewhere in the neighborhood of 13 plus or minus percent in the back half the year to achieve that 11.5%. And as John talked about, higher revenues, lower headcount additions, much better execution and higher revenue should get us there for the full year.
William A. Herbert - Simmons & Company International, Research Division: So if we do 13% in the second half of the year, are you looking high single-digit, low double-digit for the second quarter?
Maryann T. Seaman: Correct.
William A. Herbert - Simmons & Company International, Research Division: Okay, got it. And then secondly, with regard to surface and the mix shift -- or sorry, fluid control and the mix shift between capital equipment and the field portion of that business as the year unfolds? Assuming that, in fact, we're going to see a slowdown with regard to capital equipment orders, which I think probably looks very likely at this juncture. What's the margin impact on that mix shift?
Maryann T. Seaman: Yes. I'm sorry, Bill. That would -- it's favorable. We're looking at the back half of the year on Surface Technologies. We'll see some growth coming on the surface side and we're expecting to see a little bit of slowing on the fluid side, but it's positive.
Operator: Your next audio question comes from the line of Collin Gerry with Raymond James.
Collin Gerry - Raymond James & Associates, Inc., Research Division: I wanted to talk a little bit -- John, you've had a common refrain with regard to competitors filling their backlogs and that supporting a more positive pricing outlook as we go forward. I guess, I just wanted to get an update in terms of when you're bidding on projects, obviously, you guys are going to be involved in pretty much every major project in the world. Are you seeing tangible signs of improved behavior out of your competitors yet or is it still on the come? Maybe talk about how your feel of what's going on in the market has changed over even the last 6 months or so.
John T. Gremp: Okay. We haven't seen pricing improving yet because we've still got to fill up their backlogs. But there clearly is an understanding that the significant increase in subsea activity in 2012, and quite frankly, what we now see in 2013, that it is starting to materialize. We had 3 major projects, over $100 million, representing almost $1.5 billion awarded in the first quarter. 2 of those projects went to a competitor who has been very aggressive in pricing. So this is starting to manifest itself, these projects that we identified in 2012 are starting to be awarded more evenly throughout the year, it looks like, with 3 projects awarded in the first quarter. And they're being distributed to some of the other competitors who need to rebuild their backlog. Now we haven't seen the pricing improve because these projects, you can appreciate, they were awarded in the first quarter. There were probably bid almost 1 year ago. So we need to see more projects be awarded, distributed throughout the subsea suppliers, and then we'll start to see some subsea pricing improvement. I think what's encouraging though is that the expected or anticipated growth in the subsea markets is really starting to materialize. We see that now with Brazil. It's always hard to predict the timing of Brazil awards. So the award, that pre-salt award that we won, that was very encouraging and there's more to come. We're seeing the Gulf of Mexico start to improve. Permitting is back to pre-Macondo levels, rig counts almost back to pre-Macondo levels. We're even seeing it in our aftermarket business in the Gulf of Mexico starting to get back to pre-Macondo levels. And a number of projects for Shell, BP, Exxon and Anadarko are all starting to materialize. So with the strength of Gulf of Mexico, the large number of projects, almost 50% or more versus what we saw in 2011, are all supporting a very strong market in 2012. And I think all the subsea suppliers are starting to recognize that that's coming, and hopefully, that will influence their pricing decision. But we need to get these awards made and distributed to the various subsea suppliers.
Collin Gerry - Raymond James & Associates, Inc., Research Division: Okay. No, that's extremely helpful. And just to kind of follow up on that, you went through a very detailed kind of roadmap into your margin guidance for subsea. Just so I understand, is any of that pricing baked into your 2012 margin guidance? Or is pricing something that hits '13 and beyond, given the lead time and kind of your percentage of completion accounting?
John T. Gremp: Collin, you're exactly right. We don't expect to see this pricing show up in our margins on the P&L until 2013. And even in 2013, we'll have a mix of prepricing improvement backlog and improved pricing. So we'll see part of it in 2013. And then obviously, in 2014, we should see the full effect of it. But we need to get these awards made. We need to have all the suppliers start to feel the effects of getting their backlogs strong. Then we'll see pricing improvement, and then it will start being recognized in revenue. So yes, definitely not in 2012.
Collin Gerry - Raymond James & Associates, Inc., Research Division: Okay, that's helpful. Final one for me, a little housekeeping. On the Petrobras award that you had this quarter, and I apologize if I missed this in the prepared remarks, how did that fit into the backlog? What percentage or what portion of the trees booked with that and revenue associated with that was in the backlog?
John T. Gremp: Right. The way Petrobras -- the way we negotiated this with Petrobras is they gave us -- we negotiated a price and a contract for 130 trees, representing about $1.5 billion. Petrobras guarantees 60% of it, so we inbounded 60% of that number or 78 trees or about $950 million, we inbounded in the quarter. Petrobras has the option to call off the rest of that, which we think if they do it, they'll do it within the next year or so. But that's what's in the backlog is 60% of the contract award. Now how that'll -- I don't know if I'm anticipating your next question -- how will that flow through the P&L? Very little in 2012 because we'll just be doing engineering. Maybe 20%, 25% of it in 2013, and then we'll get deep into it in 2014 and '15 and '16 when we deliver off of that 4-year requirement.
Operator: Your next audio question comes from the line of David Anderson with JPMorgan.
John David Anderson - JP Morgan Chase & Co, Research Division: I want to stick with the Petrobras award here. Just kind of curious about some of the technical aspects of the pre-salt. One of the hallmarks of your strategy and we see here is to try to standardize as much as possible, particularly the larger awards. I'm just wondering, is that the case with this award? In other words, when you bid this, are you assuming fairly uniform designs across with pre-salt, or will there be kind of multiple designs? You just said there's going to be a lot of engineering next year. I'm just kind of curious, is there going to be engineering throughout? I mean, is everything going to be a little bit different here? And I'm -- obviously, I'm getting back to -- I'm trying to figure out what the margins are on this project versus kind of some of your other larger projects.
John T. Gremp: Okay. Let's start with the technical aspects of pre-salt. First of all, the pre-salt awards are not just 1 standard Christmas tree as you saw in the conventional frame agreement that was awarded 2 or 3 years ago. There are a number of different styles of tree. What we concentrate in our award, and this was intentional on our part, is we wanted to be successful in negotiating contract for 1 style of tree, large quantities, so we could minimize the number of -- the amount of engineering and get into high-volume production. So the award that we got is a vertical tree. It's 1 style of tree, and there are multiple styles to support pre-salt. But we won an award for 1 style of tree, vertical tree. It is more complex than the conventional trees because it's higher-pressure, has to handle the CO2, which requires full clad, which is a special [indiscernible] nickel clad to prevent corrosion, and then it adds controls. And I think you'll remember, David, that the controls typically are on the manifold for a conventional non-pre-salt tree. But for pre-salt trees, they're on the -- it includes controls, which makes the tree more complex, more value. And for us, I'd say it's an advantage. We're the, I think, the only supplier that's demonstrated in-country controls manufacture. So we're pretty well positioned to deliver well on this style of tree. Now the future pre-salt equipment will be different styles. They have some requirements for a horizontal tree, some requirements for pressure trees, and those will be awarded presumably later this year.
John David Anderson - JP Morgan Chase & Co, Research Division: All right. You mentioned manifolds. Didn't see any manifolds in here. Why -- is there another award coming on the manifold side? Or are they trying to go -- one of the things I've heard is maybe there will be fewer subsea trees per FPSO, therefore you wouldn't need manifolds. Is that something that they've talked to you about?
John T. Gremp: Yes. No, we anticipate that there will be a pre-salt manifold award. In fact, we're in discussions with Petrobras on that very subject. Now the manifolds for pre-salt will be different in that they will be not as complex because they won't include controls. And I think -- well, probably for us, anyway, there would probably be a more competitive environment because we can see other -- because these are simpler manifolds, we see other suppliers being qualified for the manifold. So it would be a little bit more competitive than what we've seen on conventional manifolds, where we've tended to dominate that market.
John David Anderson - JP Morgan Chase & Co, Research Division: And just a follow-up on the Brazil. I'm just kind of curious about your capacity. Now one thing you've been very careful to highlight that this is not just about the number of trees you can make, it's more about the project teams you could put together as it relates to capacity. How does your now capacity look in Brazil? Are you kind of where -- about as far as you can go? Or can you take on more? How do you think about your capacity in Brazil? Are you thinking about trying to build that out through project teams or what-not?
John T. Gremp: Well, we're pretty well positioned in Brazil. Right now, we've -- we are executing extremely well out of our Brazilian facility, all the GLL kind of equipment, the big manifolds. As you know, we delivered the Marlim processing equipment on schedule. So our Brazil organization is really executing at a high level, and therefore, we have a lot of confidence that we have the capacity to handle this pre-salt award. I think you also know that we spent almost $130 million in capital expansion in Brazil. That's largely complete now. We inaugurated our subsea technology center in January, which includes high bay manifold fabrication capacity. We've added almost 300 employees in Brazil over the course of the last year, taking us from 1,500 employees to over 1,800. So we feel very good about our capacity to support not only this pre-salt equipment, but potential work with the international operators. I think you know we've been very successful with international operators, and there's work to come from BP, Shell and Chevron. So we feel real good about where we are in capacity. We think the investments that we've made over the last 2 years and the additional headcount, particularly the 300 employees that we added last year, really positions us well.
John David Anderson - JP Morgan Chase & Co, Research Division: And you just said subsea -- or you were just talking about subsea processing on the Marlim. Is that -- a, has that been turned on yet? And b, are you in discussions with the second one? My understanding is they want to see a couple of those working before they commit to kind of a little bit longer-term.
John T. Gremp: That's correct. The Marlim subsea processing equipment was installed in December. It's not operable yet. And the reason is is that Petrobras has got to reconfigure their topside facility and that is clearly taking longer than what we expected. We expected and thought by now we'd have our Marlim system in operation. But apparently, there's more challenges on getting that topside equipment ready than what we anticipated or what Petrobras anticipated. I have to be honest, I don't know how much more has to be done to get the topsides ready so we can get Marlim turned on. I would hope it would be next couple of quarters, but I honestly don't know. And I think they have to see that Marlim equipment operational before they make their decision about how they proceed for ordering more equipment to support the Marlim field.
Operator: Your next audio question comes from the line of Kurt Hallead with RBC Capital Markets.
Justin Sander - RBC Capital Markets, LLC, Research Division: It's actually Justin for Kurt. A couple of questions. One, just a broader kind of industry question on the pricing environment. You were -- you've mentioned before that several large projects need to actually be awarded for competitors to fill up backlog. One project, in particular, if it's out there, the Stockman project looks like it may be redesigned and delayed. Just curious to see how that may impact the timing of competitor backlogs going up and what that does for the pricing environment outlook?
John T. Gremp: Yes, right. But first of all, let's talk about Stockman. Yes, it does look like now Stockman is going to move. I just kind of don't want to predict the Russian project because this thing has moved for a number of years. But it's going to -- if I had to guess, I'd say it's 2013 and beyond. So your question is moving Stockman out, what does that do for competitor pricing? Well, obviously, that's a big important project and would have filled up somebody's backlog. But there are plenty other projects on the horizon for 2012. So I don't think Stockman is going to have a meaningful effect on our ability to see pricing. There are plenty other projects out there. I think the thing I'd like to mention though is that one of the things that we're seeing different now is the number of companies that are actually bidding these projects. During the downturn, when people were really hungry to build up their backlog, pretty much everybody was bidding on every project that was available because there weren't that many. There was only 8 or 9 in 2011. Now that we see that there's almost 20 projects, we see fewer competitors bidding. Instead of 3 or 4 bidding, we see 1 or 2 -- or not 1 or 2, 2 or 3. And that's, I think, changing the competitive dynamic. I'd like to think that that's kind of the first signs of competitors holding back a little bit and being more selective. So maybe that's a precursor to pricing improvement by having fewer competitors bid some of these projects. But to answer your question directly, I think the move out of Stockman, I don't think it will have a material effect on the pricing improvement that we're looking for because there's plenty of other projects in 2012.
Justin Sander - RBC Capital Markets, LLC, Research Division: Okay. That's helpful on the dynamics there at play. I wanted to also ask on CLOV, there was mention that more labor hours were needed to keep the project on track, higher costs associated with that. Is that do you think largely behind you at this point? Or is there potential for more labor hours to creep in in the second quarter and beyond as well in order to keep the project on schedule?
John T. Gremp: Right. First of all, I'd say the additional hours were result of resources that we needed to protect the schedule. We got behind for many of the same reasons we got behind on the Laggan-Tormore because of this rapid ramp-up of activity in our Eastern Region. So this was largely isolated to the Eastern Region, and it's about that ramp-up where we got behind and now we're playing catch-up. So we're adding hours, adding labor hours to protect the schedule. One of the things that gives us confidence that we have identified all the additional costs is because the engineering is now complete. And about 85% of the procured costs are either locked in or identified. So with that much of the project being done, we have more confidence that we've identified all the additional costs that will take to successfully deliver the CLOV project.
Operator: Your next audio question comes from the line of Joe Hill with Tudor, Pickering.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: John, what was the non-manufacturing revenue for subsea in the first quarter?
John T. Gremp: The aftermarket revenue was almost close to $200 million, which represents 20% to 25%, which what we've always said. Our aftermarket revenue is about 20% of our total revenue. So it was right in line. And I think I mentioned the Gulf of Mexico customer support or aftermarket revenue was back to pre-Macondo. So we had a pretty strong quarter in customer support.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay, great. Thinking about Surface Technologies, I think Maryann said that about half of fluid control is frac pumps and half is WECO/Chiksan. Of Surface Tech, how much of that segment is fluid control in and of itself?
Maryann T. Seaman: Yes. I'm not sure that I made exactly that comment. Sorry if that was the takeaway. But in terms of the revenue component of Surface Technologies, the surface business is a greater component of that segment than is fluid control.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: So something like 55-45?
Maryann T. Seaman: Yes, about so.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. And then if I think about the backlog, how much of the backlog in that segment is just the pumps?
Robert L. Potter: Well, the majority of the backlog in fluid control is pumps. Now in the segment, which is Surface Technologies, which is both surface wellhead and fluid control as you know, we're sitting on a record backlog for surface wellhead internationally right now. So we've got a very strong backlog position in that business. But in fluid control, if that was your question, the majority of the backlog is well service pumps.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Bob, does it fall along revenue lines? Or is there a difference in mix? That is, is 45% of the backlog pumps? Or is it greater or less than that?
Robert L. Potter: No, it's about that.
Joe Hill - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Okay. Okay, and then John, for you, when we think about industry capacity utilization in subsea, it looks like on Quest numbers, the most trees that we've ever installed in any given year is 390-ish, and that's versus about 500 awarded. What do you think industry capacity for manufacturing trees is today? And where do you think we are in terms of utilization of that capacity?
John T. Gremp: Joe, I don't know. I mean, if the most we've done is 390, as you say, then we know that the whole industry has been adding capacity, so presumably it's higher than that. We've had this conversation before. When we think about capacity, we think less about physical capacity and tree capacity because the real constraint is that technical talent that's required to design and project-manage these big subsea projects. And when you look at the number of projects that are out there and how complex some of them are, that's going to be the constraint. But yes, I'm sure that the industry's capacity is now at the 400-plus range because of the capacity adds that have been made. But again, quite frankly, that's not the constraint that at least our company worries about.
Operator: Your next audio question comes from the line of Robert Connors with Stifel, Nicolaus.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: I was surprised the advanced billings accounts didn't get more of a pop, given the large subsea awards in the quarter. Any details around that? Or does that mostly come with the manifolds?
Maryann T. Seaman: Yes. We haven't really seen much change in our advanced payment structure, so there wouldn't really be a difference between the inbound in trees and the inbound in manifolds.
Robert Connors - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then is there much of a margin difference, especially as -- within Surface Tech as you shift from more of an international mix versus domestic?
John T. Gremp: No, there's no difference.
Operator: Your next audio question comes from the line of Rob MacKenzie with FBR.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: John, I guess, my question is for you, and it's a little bit more prospective than just looking at CLOV. With the industry looking to go through a continued ramp in growth here, how are you guys trying to get ahead of the curve? And are -- have you been trying to get ahead of the curve in terms of your headcount, your processes, your planning, your tree designs to minimize instances like Laggan-Tormore and CLOV going forward?
John T. Gremp: Well, we've been -- let's start with physical capacity. We've added -- we've spent almost -- close to $300 million last year, and we're on track to spend $350 million in capital spending almost exclusively to expand our physical capacity to support subsea growth. We started that 2 years ago. It will be in place well ahead of when we need it to support the growth in subsea, so we're very confident in our physical capacity. The challenge for us is with the supply chain, particularly in areas like Brazil. And we spend a lot of time developing new suppliers to support the growth. And then as you know, the biggest challenge of all is having enough technical talent to support a significantly larger and really more demanding subsea environment. Despite the fact that we've been very successful in standardizing our components, these big subsea projects demand a lot of technical talent, project management talent to successfully execute them. As you know, our company is determined to have the highest level of execution performance in the industry. And the way to get that accomplished is by having the resources in place to execute without any issue. And that requires investments, and it's been a little bit painful. We added 2,000 subsea people last year and we added 500 this quarter. It takes several years to get them down their learning curve. That's hurt our margins, but we're convinced that these are the kind of steps that you have to take in order to be ready for this ramp-up. The other thing that, I think, has really helped us a lot is that we rebuilt our backlog in 2010 and 2011, and we didn't have to dismantle any of our organizations. The one area where we did it a little bit was in the Eastern Region in 2009, where we had some headcount reductions. And then 1 year later, we won 3 major projects, had to ramp up -- such as CLOV, Laggan-Tormore and the Statoil projects, and we got behind in the ramp-up. We don't ever want that to happen again, so we're making these investments in people today so that we really are prepared for the significant growth we see in 2012 and beyond.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: So given the challenges there, when does that turn into material pricing power? Do you have to wait until your competitors get filled up? Or will your customers pay you more for top-notch execution?
John T. Gremp: Clearly, the customers will pay for top-notch execution, but you have to demonstrate it. And that's what we're getting ready to do. I think as the market grows, those suppliers that haven't prepared for this growth are going to have challenges with regard to execution. And we're counting that we'll have execution performance that will be significantly better because of these investments we've made, and we'll be able to support higher prices as a result of that. But your question was when do we get there? And I think that's later this year and into next year as these projects are awarded and the industry sees the challenges associated with operating at a much higher level of activity.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: Okay, that's very helpful answer. And my separate topic of questioning goes to subsea processing. Obviously, Petrobras, as you mentioned earlier, is waiting to see Marlim start flowing before moving forward and analyzing that. What else are you seeing? Any updates in processing and new projects and prospects around the world since we talked last?
John T. Gremp: Yes. When you look at 2012, there's already been 2 subsea processing awards. One for a [indiscernible] multiphase pump, and the other was for Gullfaks with gas compression. So we've had 2 awards already. That didn't come to FMC, but your question was where are we in terms of the industry adopting subsea processing technology. So we've had 2 awards already. There's a couple of more awards that could occur in 2012. And then when you look at 2013, I've got a list of 10 or 12 projects. No, they won't all happen. But once again, we're seeing the industry start to adopt this technology and the number of named projects start to increase. It's not going to be smooth, it's going to be kind of lumpy as our industry is. But if you look out the next 18 months, you've got over 1 dozen projects that could happen in subsea processing.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: Would you care to characterize how many of those would involve water separation?
John T. Gremp: On my list, I've got 4 or 5 that include separation.
Robert MacKenzie - FBR Capital Markets & Co., Research Division: Okay. And what would be the 1 or 2 closest ones? Can you name names?
John T. Gremp: Well, they move around a lot, but the Eni 15/06 has -- well, I'm just talking about boosting now in 2012. There's a project. There's also a Total project in the Congo. So there's a couple of those kinds of projects that are out there. Those would probably be the earliest.
Operator: At this time, there are no further audio questions. Are there any closing remarks?
Bradley Alexander: Yes. This concludes our first quarter conference call. A replay of our call will be available on our website, beginning at approximately 2:00 p.m. Eastern Time today. We will conduct our second quarter 2012 conference call on July 25. If you have any further questions, please feel free to contact me. Thank you for joining us. Christy, you may now end the call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may now disconnect.